Operator: Good morning. This is the Chorus Call. Welcome to the presentation of the financial results as of 30 September 2025 of Ascopiave. [Operator Instructions] The chairman and CEO of Ascopiave, is now going to give the illustration.
Nicola Cecconato: Thank you, everyone. Thanks, everyone. Page 2, consolidated results as of 30 September 2025 compared to 30 September 2022. Let's go to slide page 2 of Ascopiave results and [indiscernible] structure as of 30 September 2025. The slide [indiscernible] includes the group's corporate structure as of 30 September 2025. If it should be noted that scope of consolidation has been simplified compared to the first nine months of the previous period due to a number of extraordinary transactions finalized at the end of 2024. On 31 December 2024, the reorganization of the subsidiaries active in the gas distribution and renewable energy sector became effective for statutory purposes. Through a series of merger and demerger transactions, the Group's activities in the natural gas distribution sector merged into two companies, one operating in the Northeast, one in the Northwest. Specifically, the group companies [indiscernible] AP Reti Gas North S.r.l. were merged by incorporation into subsidiary [indiscernible] and at the same time, the [indiscernible] merger in [indiscernible] from [indiscernible], the group's other distribution companies, [indiscernible] were merged by incorporation into [indiscernible] following this operation, from [indiscernible], which changes company name to [indiscernible] paid out a partial and proportionate demerger in [indiscernible] on the same date, the merger project by incorporation of the company Asco Renewables became -- effective as Asco EG S.p.A., which took the name Asco Power S.p.A. [indiscernible] merger transaction that took place took effect for statutory purposes as of 31 December 2024 and for tax and accounting purposes as of 1 January 2024, while [indiscernible] demerger transactions took effect as of 31 December 2024. On 16 December 2024, and effective 31 December 2024, Salinella Eolico S.r.l. changed its company name to Asco Wind & Solar S.r.l. On 9 May 2025, Ascopiave acquired 9.8% of the share capital of Asco Power S.p.A., becoming sole shareholder. Effective 31 May 2025, Cart Acqua S.r.l. was merged by incorporation into Ascopiave S.p.A. In December 2024, Ascopiave exercised its put option on 25% of the capital of EstEnergy S.p.A. and the transfer of the share took place on 24 June 2025. On 1 July 2025, the transaction for the acquisition of the [indiscernible] of 100% of the newly formed company, AP Reti Gas North S.p.A. the company that took over certain business branches previously owned by Unareti S.p.A. and LD Reti S.r.l. [indiscernible] in the gas distribution business in the provinces of Brescia, Cremona, Bergamo, Pavia and Lodi and these operations became effective. Page 3, slide 3, changes in the consolidation perimeter and disposals of shareholders. The slide summarizes the impact of the main extraordinary transactions on the economic and financial [ engagements ] shown in the accounting documents. Consolidated income statement for the first nine months, slide page 4. In the first nine months of 2025, the group realized revenues of EUR 183.9 million, excluding an EBITDA of EUR 115.6 million and a EBIT of 72.3 million. The net balance of financial income and expenses was positive at EUR 15.6 million, an improvement of EUR 23.2 million compared to the first nine months of 2024. This change is mainly explained by higher dividends paid by investing companies, in particular, by the dividend of EUR 22 million distributable by EstEnergy prior to the sale of shares. Income from companies consolidated using the equity method, which amounted to EUR 0.3 million, refers exclusively to the consolidated profit accrued by the Cogeide S.p.A. which showed a negative change of EUR 7.8 million compared to the first nine months of 2024. It should be noted in the 2024 financial year of Cogeide and the [indiscernible] by Ascopiave 25% of the [indiscernible] the economic [indiscernible] group [indiscernible] pertaining to the group after 30 September 2024, while there is no accounting entry in the 2025 financial year. Taxes allocated in the first nine months of 2025 weigh on the income statement by EUR 12.3 million. The tax rate, calculated by normalising the pre-tax result of the effects of the consolidation of the companies Consolidated using the equity method, dividends received from investees and the capital gain realised from the Sale of the investment in EstEnergy [indiscernible] 36.1% as of 30 September 2024, to 33.1% as of 30 September 2025. Consolidated balance sheet, 30 September 2025 slides on Page 5. As of ended 30 September 2025, the group has EUR 1.551 billion in invested capital. Investment consists of [indiscernible] EUR 1,204.7 billion in intangible assets. EUR 55.8 million from the value of minority interest has [indiscernible] contributed and [indiscernible] EUR 25.7 million. EUR 53 million from other fixed assets EUR 54.7 million on the negative balance of working capital items and provisions to EUR 50.3 million from net invested capital in assets held for sale. [indiscernible] value of the 3% stake have in Hera Comm, the sale of which the Hera Group [indiscernible] on 8 October 2025 at a price of EUR 54.8 million. The intangible fixed assets shown under [indiscernible] amounting to EUR 1.247 billion, mainly consists of gas distribution networks and plants owned by the group, [ EUR 1.403 billion ], of which EUR 398.7 million is attributable to [indiscernible] consolidated as from 1 July 2025 [indiscernible] recognized following business combination of EUR 106.5 billion [indiscernible] equipment [indiscernible] real estate and the value of [indiscernible] plants. It should be noted that during the fourth quarter of the 2024 financial year, Ascopiave exercised its put option on the remaining shares of [indiscernible] for the 1 October 2024 [indiscernible] are recorded as of 30 September 2024 [indiscernible]. Shareholders' equity as of 30 September 2025 amounted to EUR 898.1 billion, an increase of [indiscernible] million compared to 31 December 2024. Net financial position was EUR 633.1 million, an increase of EUR 245.5 million compared to the end of 2024. The debt equity ratio was 0.71. Slide page 6, operating [indiscernible] distribution, Slide page 6. As of 30 September 2025, the group's distribution company has managed approximately 1.2 million users, which approximately 45,900 users of Ap Reti Gas North consolidated into the group in 1 July 2025, an increase of 55% compared to 31 December 2024. In the first nine months of 2025 income distributed through net worth EUR 1.044 billion [indiscernible] in gas [indiscernible] consolidation as of 1 July 2025, we distributed 74 million cubic metres in the third quarter of 2025. The group perspective, [indiscernible] power plant with an installed capacity of 84.1 megawatts. In the first nine months of 2025, electricity production amounted to 145 gigawatts, a decrease of 25 gigawatts, minus 14% compared to the same period of the previous year, the latter being characterized by significant rainfall. Revenues, Slide page 7. Revenues from the first nine months of 2025 amounted to EUR 183.9 million showed an increase of [indiscernible] determined by [indiscernible] consolidation perimeter by EUR 27.7 million, increased by EUR 0.3 million in gas distribution [indiscernible] revenues, the decrease in revenues from the sale of [indiscernible] from renewable sources of [indiscernible], an increase in revenues from energy efficient certificate EUR 1.9 million, an increase in other revenues of EUR 2.8 million. Gas distribution tariff revenues amounted to EUR 152.2 million and for an increase of EUR 29 million compared to the same period the previous year due to the enlargement of the scope of consolidation for [indiscernible] and to the relation of 2024 [indiscernible] operating costs and [indiscernible] 2025 on a like-for-like basis, EUR 48.6 million. Revenues from all generations from renewable sources amounted to EUR 17.4 million, decreased by EUR 4.1 million. Decreases mainly explained by the lower volume of energy produced. Slide Page 8, operating profit, other operating expenses. Operating income for the first nine months of 2025 amounted to EUR 72.3 million, shows an increase of EUR 38.1 million due to the [indiscernible] scope of consolidation, EUR 5.1 million, increasing gas distribution target revenues, EUR 9.3 million, a decrease in revenue from the sale of electricity generated from renewable sources, EUR 1.1 million. The decrease in amortization and depreciation, EUR 1.1 million, capital gains of EUR 26.4 million related to the [indiscernible] sales in net energy, EUR 0.3 million decrease in net operating expenses. Net operating expenses for the first nine months of 2025, the margins of EUR 50.9 million recorded an increase of EUR 7.6 million, driven by the change in the [indiscernible] revenue and cost items. Expansion on scope of consolidation, EUR 7.9 million. Low transaction fees remain [indiscernible] EUR 0.9 million, higher personnel costs, EUR 0.6 million, higher consulting costs, EUR 0.2 million of which EUR 0.2 million related to [indiscernible] higher cost for gas and electric utilities, EUR 0.2 million, low compensation to directors and [indiscernible] higher contribution for safety incentives, EUR 2.4 million, lower capital rate [indiscernible] costs, EUR 0.4 million. Other changes with a positive impact, EUR 0.3 million. Slide page 9, personnel. As of 30 September 25, the group has 721 employees, an increase of [indiscernible] compared to 30 December 2024. This increase is mainly explained by the consolidation of AP Reti Gas North as of 1 July 2025, which have 229 employees as of 30 September 2025. [indiscernible] personnel cost for the first nine months of 2025 was EUR 18.2 million, determined by [indiscernible] consolidation EUR 2.6 million; higher capitalized labor costs, EUR 1.6 million, EUR 2.2 million increase in current personnel costs, mainly due to higher cost of incentive plans [indiscernible] increases during [indiscernible] the contracting business provided for the national interconference and in part [indiscernible] recognition. Captain Expenditures, Slide page. Capital expenditures in the first nine months of 2025 amounted to EUR 60.6 million, an increase of EUR 9.1 million. Investments paid by AP Reti Gas North [indiscernible] consolidated since 1 July 2025 amount to EUR 4.3 million. Most of the technical investments related to the development [indiscernible] of gas network [indiscernible] amounted to EUR 31.3 million, of which EUR 12.2 million in connection [indiscernible] in network expansion [indiscernible] reduction plans. Investments in [indiscernible] amounted to EUR 8.3 billion. Investment in the [indiscernible] related to costs incurred for the maintenance and expansion of hydroelectric plant, EUR 3 million, for the construction of [indiscernible] plant, EUR 9.6 million and for the construction of other green energy plant, EUR 2.7 million. Other investments amounted to EUR 5.4 million related investments in land and buildings, EUR 0.9 million, hardware and software EUR 2.2 million, company vehicles, EUR 0.7 million an [indiscernible] EUR 0.4 million. Net financial position and cash flow, slide page 11. The net financial position, effective 30 September 2025 amount to total EUR 633.1 million, an increase of EUR 245.5 million compared to 31 December 2024. During the first nine months of 2025, cash flow generated financial resources of total of EUR 67.3 million; net investment, in tangible and intangible assets resulted in cash outflows of EUR 60.6 million, net working capital management absorbed resources of EUR 2.7 million. The group collected dividends of EUR 2.7 million from investee company not consolidated on a line-by-line basis. Shareholder's equity resulted in cash outflows of EUR 32.5 million [indiscernible] to shareholders. The purchase of equity investments resulted in cash outflows of EUR 472.2 million. The realization of Equity investments generated resources of EUR 234.1 million. Financial payrolls, slide page 12. Financial events as of 30 September 225 amounted to [indiscernible]. The loans are 60% variable rate and [indiscernible] average cost of debt in the first nine months of 2025 was 3.11%. I have concluded my presentation. Now it is Q&A session. Thank you.
Operator: [Operator Instructions] First question from Roberto Letizia.
Roberto Letizia: Good afternoon, everyone. Thank you for the presentation. Can you give us an update about the annual growth, RAB growth on annual anal basis, taking into account new business acquisitions. consequent to the expansion of the network, how will your strategy be in consideration of all these new strategies and new business combinations that we have made? And if you have any M&A opportunities as of today, can you give us also and overview considering the new regulatory framework?
Nicola Cecconato: Good afternoon [indiscernible] your first answer. The global RAB expansion of the scope of consolidation finalized as of 1 July 2025 is EUR 1.85 billion, so EUR 1.85 billion if RAB grows in relation to investments. We can -- there can be EUR 25 million, EUR 30 million on an annual basis. We are also evaluating other M&A operations big and small on a small basis and operations. we will be acquiring a distribution network, but on a small scale. If there are opportunities, we are able to seize opportunity. So we have an opportunity to grow. On renewable energy, our view is taking for granted since we have been consolidating on gas distribution. The renewables are not something but not a significant core business for us. But if there is indeed an opportunity that brings up, there is some disposal in the [indiscernible] companies, we could take advantage for further growth. Related to other M&A operations in gas distribution, [indiscernible] on the market. We have some small operations that will be following and if there are big operation, they will surely be entertaining as the proposals. Especially, there are some operators that want to leave the gas distribution business. Relating to regulatory legislation. It has been quite constant. Nothing unusual has been happening. Some decisions that were meant to be taken have been postponed.
Operator: Next question is by Emanuele Oggioni or Kepler.
Emanuele Oggioni: My first question is synergies. [indiscernible] mentioned, also in the press release. can you tell us what the target is going to be for 2026 in the field of gas and what synergies you envision in 2026? Then I have a question for you relating to [indiscernible] Have you had any negotiations with [indiscernible]? The last question is about the gas standards. For gas standards, has there been any change in the legislation on some business combinations, what is your opinion? And what do you envision? What do you expect for the year 2026? What are your best case scenarios for Ascopiave?
Nicola Cecconato: Thank you. From the moment we made the major acquisition of the [indiscernible], we took a joint, an important leap forward with a significant increase in above the base and also in the number of [indiscernible] we started global reorganization of the company that we add locally and we drove ahead of the reorganization of the network. I see information technology network management network. They're not in a position to give you a very precise and exact quantification of the exact positive impact the operation has had on us for Ascopiave [indiscernible] merge into our assets to bear fruit -- are going to bear fruit in the coming years. But as of today, I cannot give you any exact figures. So when we enter these figures into the year-end balance sheet financial statements, we will be able to give an exact amount. In relation to Itau gas. Relating to the acquisition of Itau gas assets [indiscernible] decision, we are interested in [indiscernible]. This is a fantastic result for us. We will be having an extra from 27,000 to 30,000 BDR delivery points. So especially in the province of Padua, we will be able to consolidate and enhance the efficiency of our services. So if the number of users is not yet high, the operations are rather positive. Relating to gas standards, your last question. There's been quite a lot of movement not only [indiscernible] but also around operations relating to the various category of the trade association. We don't -- there is a proposal in order that to merge the ATEMs and there is a counterproposal, the counterproposal is also tried to extend the concession in retail for investment. So we feel if we go to merge the ATEM, this is, in our opinion, within [indiscernible] as a negative proposal on the operation because if there is a merger, there will be [indiscernible] the value of the ATEMs will shoot up from EUR 130 million to EUR 700 million. So the participation in the [indiscernible] there will be a selection. [indiscernible] a very strong financial capabilities will be favored but if we analyze other factors, there won't be a real competition. So there will be a monopoly because only one big player or two big players would be able to participate in this bid. There is no possibility for other small players in the situation of monopoly [indiscernible] there were just one operated [indiscernible] so all other local and small operators were wiped off so even all of us have to pay the fees, the major beneficiary was just one player. In this case, the tender is managed in a centralized level. And local players there is no benefits that trickle down to local players, but proposals that helps all the players in the power and gas distribution, it will be something that benefits all the territories and not just one big player. The positive situation that [indiscernible] will be that all small players have a share of the cake and not just one big monopoly. So the best solution would be that all players can beat in a gas standard. I hope I have been clear with my opinion. So this is not just the opinion of Ascopiave, it is widely believed by all the smaller operators.
Emanuele Oggioni: I have a follow=up. You spoke of around 30,000 delivery points [indiscernible] what is the RAB connected to these delivery point?
Nicola Cecconato: This was not included in the EUR 1.85 billion?
Emanuele Oggioni: Yes, they were not included.
Nicola Cecconato: The operation will [indiscernible] March 2026.
Operator: Next question [indiscernible] Mediobanca.
Unknown Analyst: Good afternoon. a follow-up. On Itau gas to [indiscernible] when do you expect the closing? And when is the cash out of these 30,000 redelivery points?
Nicola Cecconato: The closing is in the stage for every March 2026 and the fee is confidential, it is a price on the RAB which is EUR 22 million but the exact fees are confidential.
Operator: Next question is from Davide Candela, Intesa Sanpaolo.
Davide Candela: On gas distribution, what you have just said on the strategy, would you be willing to leave the Northeast and enter regions of Italy? And in that case, how would you approach [indiscernible] just enter the two regions of Italy instead of staying just in the Northeast? Regarding the [indiscernible], do you have any news for us regarding these two areas?
Nicola Cecconato: Relating to the growth in gas distribution. We are moving around gradually. We look for assets, which are adjacent to where we are where we operate because it is more feasible for us, more convenient for us to work in an area which is [indiscernible] where we usually operate but this doesn't mean we cannot -- we are not going to enter other regions in Italy. But of course, no doubt that now we are a local operator we are just in Italy. So as I said, we just want assets which are joining in the areas where we operate. Relating to collaboration with [indiscernible]. We have been working on some assumptions. We have been negotiating, negotiations have [indiscernible] slow. We have been analyzing new forms of collaboration that relate to the management, joint management some businesses and the possibility of collaborating.
Operator: The next question is a follow-up from Roberto Letizia, Equita.
Roberto Letizia: Considering the two option that you spoke about. In general, how strong is your balance sheet in order to support some extraordinary operations if the opportunity comes for you. How solid is your cash flow?
Nicola Cecconato: We can [indiscernible] more or less the demand that we can invest. And then obviously, it's a step-by-step process [indiscernible] is what we can invest as of today without thinking of some extraordinary financial operations.
Operator: There are no further questions.
Nicola Cecconato: Thank you very much [indiscernible] and have a great day.
Operator: This is the Chorus Call operator. We have finished the operation. Now you can disconnect your phones. [Statements in English on this transcript were spoken by an interpreter present on the live call.]